Operator: Ladies and gentlemen, thank you for standing by. Welcome to Enerpac Tool Group's Second Quarter Earnings Conference Call. As a reminder, this conference is being recorded today, March 22, 2023. It is now my pleasure to turn the conference over to Bobbi Belstner, Senior Director of Investor Relations & Strategy. Please go ahead, Ms. Belstner.
Bobbi Belstner: Thank you, operator. Good morning and thank you for joining us for Enerpac Tool Group's second quarter fiscal ‘23 earnings conference call. On the call today to present the company's results are: Paul Sternlieb, President and Chief Executive Officer; and Tony Colucci, Chief Financial Officer. Also with us is Barb Bolens, Chief Strategy Officer. Our earnings release and slide presentation for today's call are available on our website at enerpactoolgroup.com in the Investors section. We are also recording this call and will archive it on our website. During today's call, we will reference non-GAAP measures such as adjusted profit margins and adjusted earnings. You can find a reconciliation of GAAP to non-GAAP measures in the schedules to this morning's release. We'd also like to remind you that we will be making statements in today's call and presentation that are not historical facts and are considered forward-looking statements. We are making those statements pursuant to the Safe Harbor provisions of federal securities laws. Please see our SEC filings for risks and other factors that may cause actual results to differ materially from forecasts, anticipated results or other forward-looking statements. Now I will turn the call over to Paul.
Paul Sternlieb: Thanks, Bobbi, and good morning, everyone. Thank you for joining our Q2 earnings call this morning. I'm happy to cover our fiscal 2023 second quarter results with you today. I'd like to start by providing some additional color on our ASCEND transformation program in the excellent progress that we're making on several of the focused growth pillars from our strategic plan that we laid out at our Investor Day in November. Moving to slide three. As we reached the one-year anniversary of the launch of our ASCEND transformation program, I am extremely pleased with the progress made to-date and the results can be seen in our strong gross profit margins and adjusted EBITDA margins in the second quarter, which are both the new record highs, since the launch of Enerpac Tool Group in 2019. ASCEND is focused on driving organic growth, operational excellence improvement, and greater efficiency and productivity in SG&A to enhance shareholder value. This program includes many 100s of initiatives across all functions and regions of the business and is led by nearly 100 work stream leads and initiative owners across the company. Based on the work and accomplishments to-date, we are increasing our expected adjusted EBITDA benefit of the program from the original plan of $40 million to $50 million to a new target of $50 million to $60 million as a result of additional initiatives added to the project funnel over the past year and initiatives executing at a higher success rate. We now expect $32 million to $38 million of adjusted EBITDA benefit from ASCEND in the current fiscal year, up from the previous estimate of $12 million to $18 million. This is driven by $15 million of EBITDA from ASCEND initiatives, included in our original fiscal 2023 guidance that've now matured through our ASCEND pipeline and will be attributable to ASCEND, but that are not incremental to our guidance, as well as the acceleration of several key ASCEND initiatives. We continue to expect to achieve the updated EBITDA run rate as we exit fiscal 2024 and expect it will be built into our fiscal 2025 full-year guidance. Before we move on to an update on our growth strategy, I'd like to highlight a few examples of the accelerated progress that we continued to make on our ASCEND initiatives. In the area of commercial growth, one area we are working on is building new marketing and engineering capabilities within the rail vertical. We are targeting key customer accounts through both distributors and direct channels and our engineering group has designed a new rail stressor specifically for the European market. As a result, we recently secured a major contract win for our rail stressor kit in the U.K. for approximately $1 million. As it relates to infrastructure, in the U.S., we're focused on building relationships with large bridge construction end users both directly and through our distributors. These targeting efforts have resulted in multiple wins for our core products, particularly pumps and cylinders and have created a strong funnel of future opportunities. In addition, we recently won a Heavy Lifting Technology or HLT opportunity for approximately $1 million in that vertical. We are very excited about the progress made and our future opportunities within these verticals. It's still early days as we start to execute on our vertical market growth initiatives, but we are already seeing promising progress and impact. Now moving on to footprint rationalization, I'm pleased that we've started to make headwinds on this initiative as we knew would be one of the longer-tail items coming out of ASCEND. As part of the process, we review the cost structure and manufacturing location of all products and parts we produce across the globe. And at this time, we've identified plan and announced the consolidation of one of our facilities in the European region and we've created a detailed implementation plan to ensure a very smooth transition. We expect this to drive an annual benefit of approximately $1 million and we're undertaking further analysis on our overall footprint to evaluate additional opportunities. We are also leveraging lean tools and techniques in our factories and operations processes to continuously drive efficiency improvements. Again, these are just a few examples of the progress that we continue to make on our initiatives within the ASCEND program. Of the updated $32 million to $38 million of adjusted EBITDA benefit that we anticipate in fiscal ‘23 related to ASCEND, we experienced a benefit of approximately $15 million in the second quarter and approximately $21 million year-to-date. With regards to SG&A, if we exclude the adjusted costs and the increase in AR reserve in the prior year, here we saw 320 basis points of improvement in year-over-year SG&A in the quarter -- in the second quarter as a result of the ASCEND actions taken to-date. As a reminder, ASCEND is much more than a restructuring program, there is a high degree of focus, discipline and rigor associated not only with our cost structure, but also organic growth and operational efficiency and productivity as demonstrated in the examples covered on the progress made in the quarter. Moving on to slide five, I'm excited to share some of the progress we've made on our strategic plan growth initiatives. As a reminder, at our Investor Day in November last year, we laid out our focused growth plan around four key pillars, including expansion in targeted vertical markets, specifically infrastructure, wind, rail and industrial MRO; digital transformation; customer-driven innovation and expansion in the Asia Pacific region. Last quarter we highlighted innovation and this quarter I wanted to share some of the progress that we're making within our focused verticals, specifically win and also within our enhanced digital marketing program. I am very encouraged by the progress we've made in a short period of time in both of these growth areas. As it relates to the wind vertical, global growth in wind energy takes on many forms from building out local manufacturing plants to new wind site permitting to advanced monitoring and Enerpac has built a dedicated best-in-class global wind team to look after all facets in regions where wind is growing, and where we're seeing results. And in fact, our team has a few recent wins, including an order with expedited expectations from a global offshore wind customer, providing a tailored and repeatable solution for the growing offshore market. The total impact of these winds is approximately $1 million to-date and we remain very excited about the future of this growth vertical. Moving onto our digital transformation. Specifically in this case, our digital marketing efforts we've been hard at work building out this function with a larger expanded digital team. In fact, we've already hired several critical roles to help accelerate our digital marketing efforts and we've begun actively targeting potential buyers searching online for related brands and products with product listing ads, search ads and outbound ads. We are passionate about building a white glove online experience for our customers. We will continue to optimize our websites in that pursuit. Recently we've optimized 100s of product pages with enhanced copy in inventory, we've simplified our menu in site navigation, we've added live chat support and we've implemented other key enhancements to support the buying experience online. As a result of this work in the first-half of fiscal 2023, compared to the first-half of fiscal 2022, our website traffic is up 30% and our e-commerce revenue was up nearly 350% year-over-year. This is a truly exciting area of investment for us as the returns are very clear and measurable and we are still in the very early innings. Moving on to our second quarter results and our markets, we continue to see steady demand across the regions with particular strength in the Americas and Europe and year-over-year total core growth of 10% for our IT&S products. Despite tougher year-over-year comparables were in Q2 of last year, we saw a very significant core growth of 15%. I also had the opportunity to meet with our teams and visit several customers in the Asia Pacific and Middle East regions during Q2 and I was very encouraged by the positive sentiment there. While macroeconomic uncertainty continues, overall order rates remained steady in the quarter, which has continued into the first few weeks of the third quarter. When Tony walks through the waterfalls, you'll see that our pricing actions to-date have contributed significantly to both the top and bottom line, and I'm pleased that our ASCEND initiatives also drove a substantial improvement in our adjusted EBITDA margins in the quarter, enabling us to reach record levels since the launch of Enerpac Tool Group in 2019. Tony will provide additional details on the financial results, but I just want to reiterate how excited I am about the progress we're making across the organization to unlock the full potential for Enerpac Tool Group to create significant shareholder value. Moving on to the regions, the Americas delivered core sales growth in the low-double-digit percentages in the second quarter driven by year-over-year improvement in both product and service, both the infrastructure and rail verticals continue to perform well as a result of ongoing government investment and maintenance and in our Heavy Lifting Technology or HLT business, we saw several large projects convert to orders in the second quarter, delivering some immediate revenue and helping to build our backlog for the remainder of the fiscal year. In addition, performance from our OEM customers was strong with many of our top partners placing orders and taking shipments in the quarter. And within Latin America, core product sales were driven by copper mining and railcar manufacturing, while the oil and gas market generated nice activity on the service side. Demand continued to be steady across the board within the region. Our distributor sentiment remained cautious, driven by inflation and their concern of a potential recession. Moving on to Europe. This region delivered solid year-over-year core growth in the mid-teen’s percentages driven by broad-based improvement in both products and service. And from a vertical market perspective, the region continue to benefit from government investment in both infrastructure and work [Technical Difficulty] rail, while wind also experienced strong activity as a result of the focus on renewable energy. On the service side of the business, the year-over-year improvement was driven by increased oil and gas maintenance spend with a few large projects in Germany. In addition, our highly differentiated leak sealing services continue to be in very high demand with new clients and projects in the region driving geographical expansion. HLT also experienced solid activity in several large orders in the second quarter. Despite strong demand, distributors remain cautious as a result of the uncertain macroeconomic environment. Moving on to Asia Pacific, the region had a year-over-year core growth percentage in the low-single-digits. From a vertical market perspective, mining continued to be favorable in the quarter, driven by demand for iron ore, coal, and precious metals. Infrastructure is strong in Australia, due to government investment and large projects, including roads, railings and airports. In addition, shipbuilding in Korea and Japan continued to be positive, driven by the transportation of liquefied natural gas. And turning to the MENAC or Middle East region, MENAC experienced a year-over-year core decline in the low-double-digit percentages, driven by our continued implementation of 80/20 and a more selective process for quoting service projects, particularly focused on more differentiated solutions. This has led to year-over-year positive impact to the bottom line in the region. Overall, service activity remains strong and maintenance work that had been pushed out in late fiscal 2022 began last quarter and continued in Q2. And from a vertical market perspective, oil and gas continues to be favorable, driven by oil and gas prices and the region continues to make investments in both infrastructure and power generation, including significant investments in alternative energy. Moving on to Cortland, the Cortland business delivered core growth of 4% year-over-year in the second quarter. As it relates to the medical portion of the business, demand and order rates continue to be solid for commercial products with orders received for the two orthopedic products that we launched in Q1. We anticipated additional commercial launches in the third quarter including both cardiovascular and orthopedic products. And moving on to the industrial side of the Cortland business, we experienced solid activity in our industrial end market with ropes and slings being used in various construction and heavy lift applications. Cortland industrial continued to benefit from federal funding for government-related projects, evidenced by the activity in the aerospace, defense and oceanographic markets, significantly improved lead times also allow Cortland to be more responsive to customer requirements and capture additional orders in the quarter. Now I'll hand it over to Tony to take us through the Q2 financial results and provide an update on operations. Tony?
Anthony Colucci: Thanks, Paul, and good morning, everyone. Now turning to slide nine, let's review our adjusted Q2 results. Net sales in the second quarter were approximately $142 million, which is a 6% increase in core sales over Q2 2022. Tool product core sales were up 10%, service core sales were down 4% and Cortland core sales were up 4%. Adjusted EBITDA margin was 22.7% in the quarter, which reflects a currency-neutral incremental profitability of 186%. The adjusted tax rate for the quarter was 18%, which is flat to the prior year second quarter. This resulted in an adjusted EPS of $0.35, up $0.21 over Q2 of fiscal 2022. Turning to slide 10, for details on our sales performance in the second quarter. We reported year-over-year net sales were up 4%, including the FX headwind of approximately $3 million, driven by the strengthening of the U.S. dollar, primarily related to Euro and GBP. Product core sales increased 9% as we continue to see consistent demand for our products. The second quarter saw solid consistent growth across regions, including double-digit growth in Europe and high-single-digit growth in Americas, MENAC and APAC regions. Pricing actions contributed approximately $10 million of the top line with roughly half of this benefit in the quarter attributed to the impact of ASCEND strategic pricing. Lastly, service core sales were down 4% over Q2 2022, driven by declines in our APAC and MENAC regions as we lapped strong prior year growth in both regions. In MENAC, this includes the purposeful exit of low-margin service business. The core service decline was partially offset by Q2 growth in our Europe and Americas regions. Turning to slide 11, reflecting a consistent trend noted in previous quarters, IT&S product net sales significantly exceeded the peak range of the four years prior to COVID and fiscal 2022, driven by strong demand, pricing, new product launches, and the execution of our ASCEND sales growth strategies. Transitioning to second quarter adjusted EBITDA on slide 12, we delivered over $32 million of adjusted EBITDA in Q2, approximately $16 million year-over-year improvement. Second quarter adjusted EBITDA margin was 22.7%, which is an increase of nearly 1,100 basis points over Q2 of fiscal 2022. Pricing actions were the biggest driver of EBITDA improvement in the quarter, driven by approximately $7 million of the improvement. Product productivity improvements in our manufacturing plants and supply chain drove an additional benefit of approximately $3 million in the quarter, driven by improved manufacturing plant absorption and lower year-over-year freight costs. The impact of product volume and mix was roughly flat for the quarter. Service volume and mix contributed roughly $1.5 million of EBITDA growth versus last year, primarily driven by the Americas with growth in rental sales and improved margins and manpower, as well as MENAC margin expansion, driven by 80/20, more selective project quoting and favorable mix. Cortland contributed $400,000 of EBITDA improvement behind a stronger mix of medical sales and improved industrial productivity. Excluding the favorable impact to largely European costs, resulting from the stronger U.S. dollar, Q2 SG&A was down approximately $4 million, when compared to the prior year. This was driven by lapping the non-repeating bad debt reserves in Q2 fiscal 2022 for the agent in the Middle East and the Russia receivables, along with lower salary and wages resulting from savings tied to restructuring actions and with selective reorganization in SG&A functions. Higher year-over-year short-term incentive compensation, partially offset these savings. As Paul previously mentioned, second quarter adjusted EBITDA was also positively impacted by the execution of our ASCEND transformation program, which we estimate positively impacted the quarter by approximately $15 million. We incurred approximately $3 million in restructuring charges in the quarter associated with our ASCEND transformation program. The associated savings from these actions began to flow through in the quarter, and we'll take full effect in fiscal 2024 for those specific initiatives. Moving on to operations. Consistent with our messaging from last quarter, we continue to see easing of the post-pandemic supply chain challenges. In the quarter, we saw part in component availability improved and we were able to work through older past due backlog in the Americas and Europe. We saw continued improvement on year-over-year freight costs as we continue to tighten up our usage of expedited freight, but also saw lower ocean freight rates, compared to Q2 2022. Lastly, overall inflation in both labor and commodity costs continued in the quarter, albeit at a decelerating rate from prior quarters. Despite the aforementioned positive signs we remain cautious as we believe supply chain headwinds could continue to be challenged throughout the remainder of calendar 2023. We will continue to monitor and proactively adjust to the changing business environment, including keeping a close eye in inflationary pressures and addressing with additional pricing actions as needed. We'll wrap up the financial summary with liquidity on slide 14. We used approximately $10 million in free cash flow in the quarter, compared to positive cash flow of $8 million in Q2 2022. This was due to ASCEND-related payments made in the quarter. Excluding the impact of foreign currency translation, working capital increased primarily driven by lower payables mainly related to ASCEND in addition to increases in net inventory and accounts receivable. Capital expenditures were approximately $2.4 million in the quarter. Our leverage is at 0.9 times remaining below our target range of 1.5 times to 2.5 times. With our solid overall liquidity position and strong balance sheet, we believe we are well-positioned to support our balanced capital allocation priorities, which includes our ASCEND transformation program, other potential internal investments, returns to shareholders, along with significant capacity to pursue strategic opportunities through M&A. We remain committed to leveraging our capital position to drive long-term value for our shareholders. With that, I will turn the call back to Paul.
Paul Sternlieb: Thanks, Tony. So based on the results of the first-half of the fiscal year, current foreign exchange rates and our view on the remainder of the fiscal year, we now expect full-year net sales of $580 million to $600 million and an adjusted EBITDA range of $118 million to $128 million, including an ASCEND EBITDA benefit of $32 million to 38 million. This is based on current foreign exchange rates and assumes there is not a broad-based recession. Before we wrap up, I'd like to thank all our employees around the world for their hard work and dedication to making Enerpac Tool Group a more agile, efficient and ultimately a more successful company. The organization has gone through a tremendous amount of change over the last year, since we announced the ASCEND transformation program. All that hard work is paying off as demonstrated in our strong results, which we are extremely proud of and it would simply not be possible without the broader Enerpac team that we have in place. Despite, the uncertain global macroeconomic environment, we believe that the work we've done related to our growth strategy and ASCEND has us well-positioned to deliver enhanced shareholder value. In closing, I'd also express my sincere thanks to Barb Bolens, our outgoing EVP and Chief Strategy Officer. We recently announced as part of our continued simplification efforts, the elimination of the Chief Strategy Officer role. And as a result, Barb will be departing Enerpac on April 1. We extend our heartfelt gratitude to Barb for her leadership and contributions over the past nearly five years and we wish her much continued success in her future endeavors. That concludes our prepared remarks. But as always, please feel free to reach out to Bobbi Belstner if you have any questions. We thank you for joining our Q2 earnings call, and we look forward to speaking with you again in June for our third quarter results. Thank you, and have a good morning.
Operator: